Operator: Good morning, ladies and gentlemen, and welcome to Siemens 2022 Fourth Quarter Conference Call. As a reminder, this call is being recorded. Before we begin, I would like to draw your attention to the safe harbor statement on Page 2 of the Siemens presentation. This conference call may include forward-looking statements. These statements are based on the company's current expectations and certain assumptions and are, therefore, subject to certain risks and uncertainties. At this time, I would like to turn the call over to your host today, Ms. Eva Scherer, Head of Investor Relations. Please go ahead, ma'am.
Eva Scherer: Good morning, ladies and gentlemen, and welcome to our Q4 conference call. My name is Eva Scherer, and I took over as Head of Investor Relations as of October 1. I look very much forward to collaborating with you. All Q4 documents were released this morning and can be found also on our IR website. I am here today with our President and CEO, Roland Busch; and our CFO, Ralf Thomas, who will review the Q4 and full fiscal 2022 results, followed by the outlook for fiscal 2023. After the presentation, we will have time for Q&A. The call is scheduled for up to 90 minutes. Since there is a lot on the agenda. With that, I hand over to Roland.
Roland Busch: Thank you, Eva, and good morning, everyone, and thank you for joining us to discuss our excellent fourth quarter and fiscal 2022 results. But before diving into the quarter, let me briefly start with an important milestone and a source of pride for every Siemens employee and shareholder. Our company turned 175 years just one month ago. Celebrating this anniversary was about our heritage, but even more about our future. Siemens keeps reinventing itself from a position of strength by anticipating trends and developing new technologies by staying relevant and creating impact for our stakeholders by having the right team to transform at even higher speed and by laying the foundation of the decades ahead. Our ambition is clear. We will continue to play a leading role in empowering our customers and societies to transform and tackle - the world's biggest challenges for a sustainable and better future. Two years ago, we started executing our strategy as a leading technology company to combine the real and the digital worlds like no one else. We create substantial value for our customers, be it in industry infrastructure, transportation or healthcare, we empower customers in these areas to master their digital transformation, decarbonize and improve risk force [ph] efficiency. We accelerate our own cloud speed and scale digital and sustainable technologies to achieve even higher value growth while driving profitability and cash. Looking at the agenda, we review a very successful fiscal 2022 and give a confident outlook for fiscal 2023. I am very proud that we delivered on our updated promises in fiscal 2022 and created substantial value for all our stakeholders despite many challenges. We all experienced a year with geopolitical and economic turmoil, including the war in Ukraine, the ongoing pandemic-related supply chain constraints, soaring inflation and labor shortages. Against this backdrop, our focus has been on successfully managing this complex environment together with our customers, partners and suppliers. My thanks go to team Siemens worldwide for their dedication and commitment to go the extra mile even under difficult circumstances such as extended lockdowns. In times of uncertainty, as a technology leader, Siemens captured significant market opportunities and market share. Secular growth trends such as electrification, automation, digitalization and sustainability play to our strength, and we were again a key - again a key catalyst for top line growth. Orders were up by a stunning 17%, while revenue grew by 8%, a book-to-bill of 1.24 and a record order backlog of €102 billion bode very well for fiscal 2023. Our outstanding performance, as also compared to competition is most notably underpinned by an excellent free cash flow. We repeated prior year's record level of €8.2 billion, equalling more than 10% cash return on sales. This is the third year in a row in double-digit territory. Earnings per share pre-PPA came in at €5.47 well within the updated guidance range and a markable results. With strong operational performance and higher gains from divestments, we were able to successfully compensate for substantial headwinds. Some were expected like SaaS transition in Digital Industries, but even more material were unforeseen impacts such as the wind down of our Russian operations or more severe pandemic-related supply chain constraints. Profit in Industrial businesses reached a record high of €10.3 billion, exceeding the €10 billion mark for the first time. This translated into a further improved margin level of 15.1%. All three businesses exceeded their revenue guidance with a powerful finish in Q4. Digital Industries grew by 13% comparably and profit margin was close to the prior year level with strong conversion in the automation business. It almost fully compensated effects from the SaaS transition well ahead of expectations set at the Capital Market Day. Smart Infrastructure grew by 10%, came in at the upper end of this year's profitability guidance in a very steady and consistent improvement path. Mobility grew by 3% and achieved industry-leading profitability, again despite the wind down of a very accretive business in Russia and pandemic headwinds. A major milestone was the operation of the portfolio through divesting UNIX. Now let me outline some key operational highlights of the fourth quarter. As I mentioned, our customers continue to invest in electrification, automation and digitalization, and this led to an excellent organic top line performance. We also clearly benefited from currency translation effects of around 8 percentage points. Book-to-bill reached 1.06 on strong order growth momentum of 7% in Smart Infrastructure and 9% revenues [ph] As expected, we saw a normalization of demand in digital industries on a high level with order growth of 3%. Overall, revenue growth was at 12%, strongly up in all industrial businesses and led by double-digit growth in Digital Industries and Smart Infrastructure. I'm particularly proud of our Digital Industries automation business, once again, noticeably gaining market share with revenue up by 23% based on an excellent execution and supply chain management. What really matters is value creation growth, and we executed strongly. For the first time, more than €3 billion profit in the Industrial business in a quarter and an outstanding highlight, almost €3.5 billion of free cash flow. Our financials are clear evidence for a sound and compelling strategy. Some more facts. Digital business reached revenue of €6.5 billion in fiscal 2022, and sustainability is a core driver for growth across all businesses. The SaaS transition in Digital Industries is fully on track, delivering annual recurring revenue growth of 14% in Q4. Cloud ARR, almost quadrupled versus prior year and rose to more than €500 million, now representing 15% share of total ARR. And if challenges arise, our teams are working relentlessly to resolve them. Most notably, we were able to retire the P&L risks associated with the war in Russia in Q4, the divestment of the local finance and leasing activities was closed. This fundamental strength of our company is also reflected in our dividend proposal of €4.25, an increase of €0.25 in line with our progressive dividend policy. Looking ahead into fiscal year 2023, we remain alert and monitor all developments closely. It is obvious that we have a tight grip on OpEx and CapEx investments, which are closely linked to attractive market opportunities and favorable demand patterns. Our teams are very close to what's happening in our markets. And they are empowered to gradually release OPEC [ph] spending based on the very latest developments compared to our planning scenarios. From what we see today, based on our strong order backlog and a clear net positive economic equation, we expect further value creation growth - creating growth in fiscal year 2023, and Ralf will give you the details.\ Finally, I want to emphasize a further fundamental strength of Siemens, which enables us to balance geopolitical risks. We are a global, yet agile company with robust and fully localized value chains in every geography. Our footprint is diversified with each region to avoid unbalanced dependencies. The latest regional exposure is in the appendix of today's presentation. Let me reiterate. Our investment decisions are based on a favorable risk and reward profile to achieve our profitable growth targets. In addition, we strive to continuously strengthen our competitiveness compared to incumbents and emerging competitors, often from fast-growing markets. The basis of our losses [ph] technology leadership in combination with size, leading market positions and trust. I was twice in Asia during the last two weeks, and we see continuous dialogue and collaboration on eye-level as a prerequisite to solve the global challenges of our time together. As indicated, orders reached an impressive level of almost €22 billion, up organically by 7%, leading to a record high quality backlog. Revenue exceeded the €20 billion threshold for the first time after spinning of Siemens Energy in 2020. Growth was broad-based in Asia, Australia, up by 22%, with double-digit growth in five out of six lead countries. EMEA was up by 7% and the Americas rose 8%. Industrial business profitability of 16.2% was up 220 basis points. And EPS PPA came in at €3.59 driven by strong operational performance and from the divestment gain of the Mail and Parcel business. Looking into fiscal year 2023, our healthy order backlog is a source of strength and resilience. It gives us confidence to our profitable growth targets by standing at €102 billion, up almost €18 billion over prior year. Visibility in our short-cycle product businesses in Digital Industries and Smart Infrastructure is at unprecedented levels, far reaching into fiscal year 2023. The long-term project and service backlog of mobility comes with healthy gross margins. Going forward, we continue to focus on stringent execution and supply chain excellence to meet customer expectations better than competition. Our world-class team - teams have made a substantial difference here based on long-term trustful relationships with our suppliers and partners. Transparency through advanced analytics and our localization strategy are key success factors to mitigate constraints as much as possible. Strategic growth catalysts for all our businesses is achieving sustainability impact at our customers. Here you can see great examples how customers build on our technology and domain expertise in attractive growth verticals. So let's start with Digital Industries. The team in China has entered a strategic partnership with Dongfang Boiler to accelerate planning and building of large-scale concentrating solar power plants. Digital Industries will provide a broad range of automation and cater solutions to optimize clean renewable solar power generation in a series of projects. We will deliver more than 30,000 PLCs in the coming year with the first project underway. We continuously strengthen our position as a key technology partner for sustainable automotive battery gigafactory production. The latest example is the partnership with European Automotive Cell Company. ACC will use the broad range of our Siemens Xcelerator hardware and software portfolio to optimize design and manufacturing via digital twins. The clear goal is to scale up production efficiently combined with best-in-class energy management in two plant gigafactories in France and Germany with a potential form border. Smart Infrastructure is working on many projects to decarbonize energy infrastructure and transportation. As part of our broader collaboration between Shell and Siemens on a low carbon energy solution for the future, Siemens is an important electrification and automation partner to realize one of the worldwide largest green hydrogen production plants. It is called HH1 in Netherlands. Another good example is the collaboration with Volta Trucks, where we support Volta zero emission, fully electrified transport as a service model. Our offering includes the latest charging and power distribution infrastructure, software and even financial services for Volta Trucks, commercial electric customers. Our mobility solutions are the backbone for safe, reliable and sustainable transportation solutions. And let me mention just two highlights. Mobility will provide an automated CBTC signaling system in Taiwan, allowing for driverless operations, greater availability and improved passenger experience. Akiem, a French rolling stock leasing specialist company ordered 65 of our best-selling Vectron locomotives for European cross-border transport. All these projects demonstrate how sustainability creates significant business momentum for us. In addition, we move ahead in implementing our DEGREE ambitions, and I want to point to three topics. First, as a strong external reference, we were again recognized as number one in the Dow Jones Sustainability ranking among our industry peer group. Second, besides creating sustainability impact downstream towards customers, we put a large focus on our upstream supplier base. We held a series of C-level global supplier collaboration days with more than 400 selected key partners. The goal was to align on requirements, tools and identified joint action fields, how to drive decarbonization resource efficiency and circularity approaches. Our offerings will play a major role to support our suppliers in driving sustainability and creating a win-win situation. And third, at a time when criminal cyber attacks on enterprises and governments are used as a strategic weapon, it is a strong signal that Microsoft is joining our cybersecurity system Charter of Trust. We will work together on further developing robust security principles for the design phase and supply chain security. My fellow board member, Judith Wiese [ph] and I will highlight our progress and future priorities at a virtual sustainability update event on December 12. We are looking forward to discussing this key area of interest with you. A core strategic lever for value creation is our goal to grow the digital business annually by around 10% until 2025. Fiscal 2022 was a successful step in this direction, achieving around 15% growth to €6.5 billion despite the ongoing PLM SaaS transition in digital industries. And we are confident to continue a strong growth trajectory in fiscal 2023. After summer break, each business presented a leading trade - a leading trade fairs, the latest launches of our software and IoT-enabled portfolio, all built on the principles of our open digital business platform, Siemens Xcelerator. Smart Infrastructure attracted high customer interest at the light and building fair with Building X, our recently launched smart building software suite for net zero buildings. Mobility was an Innotrans to showcase its comprehensive mobility Software Suite, X and its Railigent X application suite for digital services to achieve 100% system availability. And just last week, the Digital Industries team highlighted our comprehensive IoT offerings for industry together with a strong ecosystem of partners at the SPS fair. We bring together solutions and applications for sensors - to edge to cloud. Customers will benefit from integrating IT and OT to increase performance, productivity, flexibility and sustainability. When looking at the strategic transition of our DI software PLM business towards SaaS, I'm pleased with the progress. As I mentioned before, transmission is fully on track with a share of cloud ARR at 15% of total ARR tripling year-over-year. Around 3,100 customers have signed on to the Software-as-a-Service business model in the first year of the transition. Among them, we're close to 60% new customers, underpinning our ambition to expand our existing customer base. And many first-time SaaS buyers have already placed follow-up orders throughout the year. So far, around 74% of customers were small and medium enterprises, clear evidence that we are successfully expanding our reach in this segment. We have been pleased with customers from our traditional businesses such as auto, food and beverage and industrial machinery show a strong preference for our cloud offerings. Looking at another data point of customer acceptance, we saw a rising transformation rate of PLM renewables over fiscal year 2022. It has been stabilizing above 80% of the total contract value up for renewal. As anticipated, the change in accounting towards recurring revenue again translated into lower PLM revenue and profitability in the current quarter. Looking ahead, we will intensify and optimize our customer success management and online customer nurturing activities. This will drive revenue with the adoption of further functionality and applications. We are confident to achieve further dynamic ARR revenue growth in fiscal year 2023, in line with our ambition to grow above 10%. To sum it up, our own internal transformation to change the business model, as well as customer buy-in is fully on track. A key lever for future success is our targeted and outcome-driven investment in innovation. We plan to further increase R&D intensity to around 8% of revenue through constant renewable of strong hardware base and intensified investments in our software and digital portfolio. It is a clear goal to extend market-leading technology positions, drive sustainability offerings and expand Software-as-a-Service models across all businesses. In addition, our central technology team is closely collaborating with all businesses to maximize the benefit of jointly investing more than €500 million in 11 core technologies. These key overarching areas are, for example, data analytics, artificial intelligence, cybersecurity or simulation and digital twins. An important lever for margin expansion has been our competitiveness programs where we were made - we made substantial progress in fiscal 2022 and reaped the benefits. Digital Industries and our core corporate lean and effective governance program were executed one year ahead with the desired outcome. The latter overachieved its target even slightly, which is showing its benefit across Siemens. Smart Infrastructure will finalize its program by the end of fiscal 2023 to plan further supporting its ongoing margin expansion. And going forward, we will continue to focus on productivity improvement as part of our daily business, while managing the economic equation. A further core strategic lever is continuing portfolio optimization. In fiscal 2022, we were successful in strengthening our software capabilities across our businesses. At the same time, we executed several divestments by finding strong buyers, while creating substantial value and cash for the company. Looking ahead, we will continue with targeted bolt-on acquisitions and selected divestments strictly adhering to our six strategic imperatives. The carve out process for large drives applications is progressing well. During this process, it became evident that LDA and Scatec [ph] both part of portfolio companies, have many commonalities in value chains and manufacturing technologies with parts of the motion control business in DI. These are specifically the Low-Voltage Motors, Geared Motors and Weiss Spindle technology businesses. Therefore, we decided to combine these businesses in a new company with an own legal setup, and outside the core business of Siemens AG during fiscal year 2023. With a joint revenue of around €3 billion and around 14,000 employees, we create a powerful global player addressing a more than €20 billion market for electrification and power conversion. We are convinced that this integrated motors and large drives champion will be significantly stronger and more resilient than each business operating independently. The company is specialized with a high degree of vertical integration in this market. It will be highly competitive with an attractive end-to-end portfolio from low-voltage to high-voltage motors, geared motors, medium-voltage converters and motor spindles. It is completed with an innovative solution and digitalization portfolio and a broad range of service offerings. The clear goal is to set the strengthened combined business completely independent from its peers to unlock significant value and margin potential, best preparing it for future success. The motion control units business at DI, Digital Industries, with drive technology and machine tool systems is strategically important and a core topic for Siemens, we plan to further invest in this area. And with that, over to you, Ralph. Let us take a closer look at operational performance and our detailed outlook for the fiscal year 2023.
Ralf Thomas: Thank you, Roland, and good morning to everybody. Let me share further details regarding our very strong finish in the fourth quarter and our outlook for fiscal '23. In Digital Industries, we saw top line finish on a high note. As expected, we recorded a normalization in automation order patterns after a series of quarters with exceptionally elevated demand levels in fiscal '22. They were driven by extended lead times and pre-ordering by some customers. I would like to emphasize that sentiment in our core markets for Digital Industries such as automotive, machine building and electronics is robust and growth verticals such as batteries are showing strong demand. Orders were up 3%, slightly exceeding revenue with a book-to-bill overall at 1.0. Therefore, our backlog in Digital Industries further increased to more than €13.5 billion. Customer cancellations were again close to zero. We expect more than €10 billion of this record backlog to convert into revenue in fiscal '23, which gives us very good visibility for the next 6 to 9 months. Orders in motion control and process automation were stable over prior year, while factory automation was lower on tough comps. Software was up in the mid-20s with several large deals in the PLM business. Automation revenue rose 23% on strength in motion control and factory automation. Supply chain constraints showed signs of easing, and the team did an excellent job, again, to run the factories with high utilization and output. Still, supply chains remain vulnerable and require constant and close attention. Pricing contributed around 7 percentage points to revenue growth in automation. Revenue in discrete automation was up a stunning 24%. Process automation is on a steady upward path and achieved 15% revenue growth. Software revenue was up 3%, reflecting 10% growth in EDA and ongoing momentum of our SaaS transition in PLM. Comparable PLM revenue was 2% lower year-over-year. Margin at 21.5% was excellent, driven by the automation businesses. Strong profit conversion on high volumes and capacity utilization were paired with a favorable product mix on improved availability of components. Price increases from previous quarters, which materialized now through backlog conversion, plus productivity gains enabled us to overcompensate cost inflation in the quarter. Cloud investments accounted for €88 million in the fourth quarter, equalling 160 basis points of margin impact on Digital Industries. Full fiscal '22 impact was around 145 basis points, and we expect to continue this level in fiscal '23. We are excited that Digital Industry once again achieved an all-time high free cash flow of more than €1.3 billion, leading to an excellent conversion rate of 1.1. For the fiscal year '22 Digital Industries generated more than €4 billion in free cash flow, an exceptional performance supported by stringent working capital management. Despite 18% nominal revenue growth in fiscal '22, we were able to maintain operating working capital on prior year's level. Digital Industries will work hard in fiscal '23 to keep operating working capital turns on a similarly high level despite a normalization in advanced payments. Looking now to vertical markets for the next quarters, we expect continuing market growth momentum, however, substantially driven by price inflation. We closely watched the underlying real investment sentiment, which so far remains positive for our products and solutions. However, we remain vigilant in tracking the volatile macroeconomic situation. And as Roland said, we managed costs tightly based on agile scenario and contingency planning. Now let me give you the regional perspective on our strong top line automation performance. As mentioned, automation orders saw some normalization of demand on high level. This was most notably visible in China after several overheated quarters of extraordinary pull forward order levels with orders down by 30% in Q4 on very tough comps. Nevertheless, order backlog and related advanced payments in China continued to be at exceptionally high level. And by the way, in October, we saw quite healthy order momentum around prior year level in a volatile environment. In Europe, fourth quarter order growth was robust with Germany up 8% and Italy up 3%, while the U.S. saw strong demand with 18% increase. We expect the normalization of demand in fiscal '23 to continue. This will come with a gradual reduction of order backlog on easing supply chain fears, strong revenue conversion and will finally lead to healthier delivery times. Excellent double-digit revenue growth in automation was broad-based. China delivered an all-time high revenue level, up by 26%. Germany, up by 13% and Italy, up by 26%, showed strength across the board, while the U.S. discrete and process automation increased double digits. As Roland said, our teams are determined to secure global component availability in the light of gradually stabilizing but still volatile supply chain. We also must manage successfully a still fragile situation in China due to its zero COVID policy. In fiscal '23, we again expect to balance wage and material cost inflation with pricing actions and productivity measures. Our healthy order backlog contains pricing measures from fiscal '22, which will convert into revenue over the course of fiscal '23. Therefore, from today's perspective, for the first quarter in fiscal '23, we anticipate for DI revenue growth in line with the full year expectation of 10% to 13%. It will be driven by strong backlog execution and automation. We expect the software business to start soft into fiscal '23 due to flattish PLM revenue on continuing SaaS transition and lower EDA revenue on timing of large project wins. Beyond the first quarter, we expect clear revenue growth acceleration in the software business throughout fiscal '23. We see the profit margin for the first quarter to be around the lower end of the full fiscal year guidance, largely dependent on the business mix in automation and impacted by a soft start of the software business. Smart Infrastructure achieved a really outstanding fourth quarter performance. The team delivered excellent top line growth in robust end markets and another proof point for consistent margin expansion trajectory. In total, orders were up 17%, driven most notably by 20% growth in the Electrical Products business and 21% growth in Electrification. Orders benefited from strong demand in the data center vertical and for digital building services. Buildings was up 12% based on strength in the solution and service business. Revenue reached 13% with the largest contribution from the Electrical Products business, up by 24%. The team, again, very successfully managed their supply chains, around 5 percentage points of SI revenue growth is attributable to price increases. Margin performance of 14.2% in SI's seasonally strongest quarter was up 170 basis points year-over-year. It benefited from higher capacity utilization, leading to increased revenue, as well as ongoing structural improvements from our competitiveness program. Finalizing this program will deliver further contributions in fiscal '23. Headwinds from material and other cost inflation were fully mitigated by pricing actions and productivity measures. The SI team successfully implemented effective measures to reduce net operating working capital despite material revenue growth. Based on this, free cash flow showed a stellar finish with an all-time high of almost €1.4 billion. Looking at the regional top line development, we saw strong order momentum everywhere, except China, still impacted by the pandemic. The U.S. was the main growth engine, up by a remarkable 32%. Revenue increased in all regions with most impressive 24% growth again in the U.S. on a soaring data center and semiconductor business. The service business delivered 10% growth, led by a double-digit increase in the Americas and high single-digit growth in Asia and Europe. As in Digital Industries end markets, we see nominal growth in all verticals, however, substantially fueled by price inflation. We closely watch underlying demand, particularly in commercial buildings. On the other hand, our exposure to verticals with closer ties to end customers such as residential is limited. Other important verticals more related to renewable energy integration, IT and public infrastructure, such as power distribution, data centers, education and healthcare continue to show pretty robust growth fueled by demand for sustainability offerings. For the first quarter, we see the comparable revenue growth rate rather towards the upper end of our full year growth guidance strongly supported by order backlog. We anticipate the first quarter margin to be on prior year's level, also due to a low mid double-digit million impact from severance related to implementing final measures of the competitiveness program, as discussed before. Mobility closed the year with a solid last quarter. Orders at €2.6 billion included seven large locomotive contract wins totaling €500 million, which drove rolling stock momentum. Rail infrastructure orders were lower on tough comps. We are pleased to see that Sqills [ph] which we acquired in '21 recorded a large order extension for a SaaS reservation system in France. The backlog stands at €36 billion with healthy gross margins. And our sales funnel continues to look promising for fiscal '23 across all business activities. We now expect financial closing for the first line in the Egypt order and notice to proceed for the other two lines in the second half of fiscal '23 with an order value of around €3 billion. The remaining order of around €5 billion is expected to be booked in fiscal '24. Revenue in the fourth quarter was up 10% on broad-based growth driven by the service and the rail infrastructure businesses due to accelerated project execution and earlier customer acceptances. However, revenue recognition was in some businesses still held back by supplier delays and delivering materials and components, as well as pandemic-related effects such as higher absence among workforces. These effects trickle down to the bottom line but with less impact compared to previous quarters. Profit margin reached 8.8%, in line with expectations on strength in rail infrastructure and service. And as Roland mentioned, the highly accretive business in Russia is missing compared to prior year. Mobility achieved the expected significant catch-up for free cash flow in the fourth quarter, which led to a cash conversion rate of 0.97 for fiscal '22, again, in line with the [Technical Difficulty] growth target, clearly differentiating Siemens Mobility from any competitor. Our assumption for revenue growth for the first quarter of fiscal '23 is mid-single digit, again, depending on material availability. First quarter margin is seen around 8% under the assumption of gradually easing material supply strains and logistic constraints. Siemens Financial Services closed a challenging year with a solid fourth quarter performance where higher credit risk provisions weighed on profit partially compensated by higher contributions from the equity business. Return on equity of 15.6% for the full year within the range is a remarkable success in the light of impact of €186 million from completing the exit from Russia SFS was successfully supported - has successfully supported the industrial businesses with excellent financing expertise and deep industry domain know-how. The team is enabling focused customer access and facilitating market entry. Going forward, the focus for collaboration is on joint development of digital business models, another key pillar is on supporting customers to transform and drive sustainability through smart financing solutions, including equity investments. Let me keep the perspective on below the line industrial business is crisp. All details are in the earnings bridge on Page 35 in the appendix. Value creation at our portfolio companies was tremendous since we recorded a pretax gain of around €1.1 billion from the sale of the parcel logistics business. On top, we saw solid operational performance of the remaining businesses. In financing, eliminations and other, we recorded significant Russia-related impacts at corporate treasury totaling a negative €267 million related to hedging activities in connection with the ruble closing our Russia related P&L exposure. In addition, we booked positive noncash revaluation effect of around €100 million related to fair value measurement of equity investments. The tax rate in at 25%. Excellent free cash flow performance is the true parameter of the operational strength of our company under challenging circumstances and at a time when others struggle. In the fourth quarter alone, our Industrial business delivered free cash flow of €3.9 billion and an excellent cash conversion rate of 1.23. Strong consistent free cash flow of once again more than €8 billion out the year and a double-digit cash return on revenue, our focus on stringent working capital management of the entire team around the globe. We are very confident to continue this path also in fiscal '23 despite normalizing advanced payments. I want to point out here that on top of free cash flow, €1.5 billion of divestment proceeds in Q4 have provided the necessary liquidity to acquire brightly [ph] Strong operational performance is also reflected in a ROCE of 24.6%, well within the target range, even excluding the effect of the parcel disposal gain. With continuing strong cash flow and divestment proceeds, our balance sheet and capital structure have further improved. Industrial net debt over EBITDA was 1.0 times at year-end with ample headroom to our targeted threshold. With our strong investment-grade rating, we are in an excellent position for refinancing. This was proven with a successful €3 billion bond issuance at very attractive conditions in September. Our strong free cash flow and liquidity position are also giving us room to provide highly attractive shareholder returns. We will propose at the AGM a dividend of €4.25, clearly up by €0.25 from the prior dividend being a testament to our progressive dividend policy. This represents an attractive dividend yield of 4.2% based on September 30 closing share price and we feel our great confidence in the future development of Siemens. At the same time, we are very mindful about the balanced capital allocation priorities. Next to dividends, the second pillar is accelerated execution of our share buyback program. It is totaling now at €1.8 billion since the start of the program with an attractive average price of around €110. In addition, we intend to execute the cancellation of 50 million treasury shares after the AGM '23 and reduce our share count to 800 million. Now let me come to the assumptions for our outlook for fiscal '23. We assume no further escalations of geopolitical tensions and challenges from COVID-19 and supply chain constraints continue to ease. Under these conditions and with our high backlog, particularly in short-cycle businesses, we expect our Industrial businesses to continue their profitable growth path. We anticipate the economic equation of price increases in productivity versus cost and wage inflation to be, again, net positive in fiscal '23 for both Digital Industries and Smart Infrastructure. Building on our strength, we will further expand high levels of investment in R&D with a strong focus on software and digital technologies. In addition, we will selectively invest in go-to-market digital sales channels, sustainability offerings and fast-growing verticals. To support growth momentum, we will also increase CapEx for targeted investments in modernization, selected capacity expansion and footprint diversification. However, each decision will be taken with a strict focus on strategic priorities in resource allocation. We assume severance charges on prior year level. Based on current rates, we anticipate modest positive effects from foreign exchange rates on top line and profit margin. From today's perspective, and in contrast to fiscal '22, we assume for fiscal '23 only negligible contributions to net income from our ongoing portfolio optimization strategy. On Page 36 in the appendix, you can find all details as referenced for the outlook below industrial businesses. I want to point out here only a few important topics for your models. SFS results in fiscal '23 are expected to be on fiscal '22 levels despite an uncertain credit environment. New business from intense collaboration with the operating units is compensating the loss of accretive business in Russia. Return on equity is anticipated to be at the lower end of the target range of 15% to 20%. In portfolio companies, we expect a profit of around €300 million, including the gain from divesting the commercial vehicles business to Meritor, which is expected to close in the first quarter. The remaining businesses are executing their full potential plans and are confident to achieve a profit margin of at least 5%. For Siemens Energy investment, we record PPA effects of close to €100 million plus the net income and equity participation. Cost of governance, net of brand fee, will be lower at around €500 million, in line with our intended path of consistently decreasing this item to net zero by '26 latest. The tax rate is expected to be in the range of 26% to 31%, what we see as a regular rate without extraordinary effects. As always, this does not reflect any potential impact from larger tax reforms around the globe. Here, you can see the outlook for Siemens Group and for the businesses. Given the strong performance in fiscal '22, our guidance is based on tough comps, especially when looking at the order development. It reflects our confidence in accelerated high value growth despite challenging framework conditions in fiscal '23. Digital Industries - its comparable revenue growth of 10% to 13%. The margin is expected at 19% to 22% on strong backlog execution. Smart Infrastructure expects to achieve revenue growth of 8% to 11% with a further improved margin at 13% to 14%. Mobility anticipates achieving revenue growth in the range of 6% to 9% with a margin of 8% to 10%. On Siemens Group level, we anticipate 6% to 9% comparable revenue growth and again a book-to-bill ratio above one. We expect this profitable growth of our industrial businesses to drive basic EPS from net income before PPA accounting to a range of €8.70 to €9.20 in fiscal '23. This outlook excludes burdens from legal and regulatory matters and material impairments. As you can see from this ambitious outlook, we enter fiscal '23 with confidence in a very strong cash-generating portfolio and execution discipline. However, we monitor macroeconomic volatility closely to be able to act in a agile way, managing costs diligently and leveraging growth opportunities at the same time. The course is set for further value creation and cash excellence. With that, I hand it back to you, Eva, and we will be happily waiting for your questions.
Eva Scherer: Thank you, Ralf. We are now ready for Q&A. Please limit yourself to two questions per person. As I can see, we already have many analysts in the queue and we want to give everybody the opportunity to raise their questions. So, Natalie, please open the Q&A now.
Q - Simon Toennessen: Yes. Good morning, everyone. I've got two questions, please. The first one on your growth guidance. I think many investors are trying to grasp really the bullish guide you're giving and the - I guess, more difficult economic projections, particularly for Europe, but also the U.S. So in your guidance, do you expect any slowdown in CapEx and OpEx spend whatsoever? Or do you just expect the backlog to just fully convert? And on that, I think you expect the book-to-bill to be above one, but I think the Egypt order, probably Mobility is driving quite a bit of that. So maybe you can give a bit of color on book-to-bill you're seeing or you're implying maybe in your growth guide also for DI and SI. And the second question on your DI guidance, in particular, for growth and margins. Can you be a bit more specific how you would expect the regions to perform? How are you seeing mix between the various parts and also, I think, the potential impact from the SaaS transition on the DI business in '23 would be helpful. Thank you.
Ralf Thomas: Thank you, Simon. And let me start with the first question you have been raising. Of course, we are aware of potential recessions being around in some regions around the globe. And you have been picking on the right point. We are very confident for our ability to convert existing strong backlog, which is giving us visibility far beyond that what we used to have in the past. So we're talking in the next 6 to 9 months, in particular in short cycle businesses. This is fairly uncommon, as we all know. We are not naive. We will be ready to carefully watch the development of macroeconomics throughout those 6 to 9 months. And if need be, I think we will be agile enough to respond swiftly. We do have contingency plans in place. However, it would be completely overreacting at this point in time to pull them since the momentum we see, as I pointed out in my presentation, is still fairly robust. We are also putting on some sweet spots with battery business and the like, as Roland has been describing. And we also see ourselves clearly privileged with our positioning of the portfolio as to sustainability matters enabled by digitalization. We help our customers to fulfill their requirements when it comes to living up to carbon neutrality and also in terms of being mindful when it comes to resource consumption. So therefore, we are carefully watching matters. We are building on a strong outlook. And to give you a bit more color on the structure of the backlog, I think I mentioned that before, €13.5 billion in DI, €15 billion, slightly above in SI, €36 billion with a really good quality in Mobility. And that, I think, is quite remarkable. The DI backlog to help you a bit for your modelling, I think 70% is automation and 30% is software materializing over a longer period of time. And last but not least, sharing with you that I personally feel rather happy with the fact that our delivery times are becoming shorter again, and there is a normalization kicking in when it comes to the backlog. Of course, this is helpful in transparency and giving us a certain level of security when it comes to planning, but it's also something we know is going to swing back in the years to come. So from that perspective, fairly well positioned, but not complacent. I think this is the key word that needs to be spread. On DI, you mentioned the growth. How is the mix in the regions? We see regarding revenue growth for the fiscal year, I mean, a broad-based growth, is it United States? Is it Euro [ph] Is it in China as well? Also in the different verticals, is it discrete or process automation? We see a strong pull [ph] it's basically a pull regarding our portfolio, which is very strong. Is it automation? Is it digitalization and including our product business there? So the SaaS transition and we mentioned that we are very happy with it, with 14% ARR growth and the share of ARR cloud of 15%, which quadrupled almost to €500 million, which is very strong. We see a very strong conversion. We see new customers of the [Technical Difficulty] of the customers we have currently accumulated is almost 60% new customers. We have 74% [ph] small and medium-sized. So this is a very, very strong transition. We keep on going. And if we can accelerate it, we do.
Roland Busch: Let me add a bit more color on the book-to-bill, as you requested, Simon. I think I mentioned that the Egypt order is going to be expected with around €3 billion of bookings after the financial close in the second half of fiscal '23. The rest of the volume, around €5 billion, we foresee to be booked in fiscal '24. So book-to-bill, with that being said, for Mobility will be very healthy, well above one in the area above 1.3 times. So I think that's quite meaningful for digital industries. As said, we expect normalization. So this will be slightly below one area of 0.9% plus and Smart Infrastructure is still benefiting and is going to have a slightly above one book-to-bill for the fiscal year. I hope that's going to give you a bit more color for modeling.
Simon Toennessen: That's very helpful. Thank you, both.
Operator: The next question is from the line of Alexander Virgo from Bank of America. Please go ahead.
Roland Busch: Alex? Maybe we take another one and come back to him later.
Operator: Yes. The next question would be from the line of Andrew Wilson from JPMorgan. Please go ahead.
Andrew Wilson: Hi. Good morning, everyone. Thanks for taking my question. I have two. I think the first one is a follow-up actually on Simon's question. I guess, what would your assumptions need to be for the second half of '23 for the short-cycle order growth needed for the group to make the lower end of the guide for both DI and SI? Just trying to, I guess, like Simon was trying to understand just where the sort of the cover runs out [ph] and where the short-cycle order will need to come through? And then secondly, just on the cash dynamics, if we're expecting orders to normalize in at least some of the businesses in '23 versus '22, can you give us an idea a little bit of what the headwind would be from the prepayments and trying to sort of, I guess, bridge the comments on cash for '23 versus '22? Obviously, there any comment on the sort of the prepayments associated with Egypt, Ralf [ph] would be helpful there as well. Thank you.
Ralf Thomas: So let me start with the prepayment question. I think what I tried to express in my speech is that we are mindful that we have an extraordinary high level of prepayments or advance payments in our product [ph] business, mainly because they are looking back half a decade, it was fairly unusual not to say seldom that you saw large and material advanced payments that has been driven by scarcity of availability, and like we discussed that in the prior quarters. And from that, what I see at the moment, there is no change in policy expected. However, with the normalization of new orders, in particular in China, as we said before, there will be also then a normalization payment stream from that. But the policy as such is still in place, and I don't see any deviation from that. When it comes to advanced payments in the project business, I think it's obvious that we have certain requirements in that field. And we share that with you once the payments arrive at our accounts, and this is going, obviously, to happen with the booking then after financial closing of those projects. So I need to ask you for patience on that. We don't want to speculate on months in that regard. But we have a firm grip around the procedures, and this is going to be adhered to, no doubt. When it comes to the assumptions for the second half of the year, as I said, I mean, we don't plan that there's a cliff or something showing up in the second half of the year. What we see, and I may give you a bit more color on the - for the example of DI automation business, the normalization that has been initiated is, on the one hand side, supporting delivery times to come down to reasonable levels again. And it's also based on the new reality, if I may put it that way, that supply chain constraints seem to be easing a bit. There's a psychological element in that because consider yourself in the shoes of a customer, if you would foresee the delivery times are going down again. You don't need to worry about supply chain constraints. You will drive down your inventory levels exactly the way we do that. And therefore, there will be a normalization in the behavioral part of order ordering from our customers. So that's quite natural. It's hard to anticipate properly to what extent that's going to happen where. I assume in China, for example, with COVID still being under a very strict regime that process may be slower compared to other countries in which we don't see that pattern. So that's the one aspect. And the other one, just allow me to remind ourselves that we had five quarters in digital industry new orders in automation that were between a plus of 35% and a plus of 77%. And this is obviously overheated. So therefore, I believe it's reasonable, meaningful and also desirable process to get that down to normal levels.
Andrew Wilson: Thank you very much.
Operator: The next question is from the line of James Moore from Redburn. Please go ahead.
James Moore: Yes. Good morning, everyone. Thanks for the opportunity. I hope you can hear me. So thanks for the backlog to revenue detail and your DI, SI book-to-bill for '23, very helpful. Thanks, Ralf. I've got one question in a few parts. Can you help us understand the risk around the revenue delivery of your targets regarding cancellations, advances, deferrals and the speed of backlog normalization? On cancellations, do you assume we stay at zero in DI, SI or do we lift on advances, can you give us any flavor? You gave a nice China data point last quarter, but more broadly globally over the year of how big these are and whether they've changed over history in DI, SI, and Mobility? And on deferrals, not cancellations, was the risk or the potential for a customer to push that backlog to 12 months? And finally, on the normalization of backlogs were obviously very high. We've gone from a backlog to sales ratio of 30%, 70 in DI and 70 to 80 plus in SI. Did you assume that those normalize back to the historic norms within the fiscal '23 year? Or is that something that you think will take longer in your mind?
Roland Busch: Thanks, James. Two questions, which I tried to answer in four different portions. The backlog normalization, I mean, that will definitely take longer than 12 months, I believe. Yeah, it would be quite surprising if there was a cliff shape type of development there. I also have to say that there is a large disparity between the different product lines in the reach of the backlog. So therefore, it would be helpful, but I don't expect that it's going to normalize throughout the next - this fiscal year. Then talking about the risk of revenue recognition and revenue turning the backlog into revenue. I mean, what we do is this is very hands-on. Yeah, I mean we are looking at the backlog literally on a weekly basis in the businesses. And if and when there is a cancellation, which is very, very rare at the moment, then we would, of course, first, try to understand the reason for that. Sometimes there is different reasons that doesn't have to do anything with a backswing of economy or demand. So that is the first step you typically take then using the opportunity to talk to customers on that event is also helping you seeing maybe commonalities in an industry the customer is coming from. And if and when there was a pattern that we would recognize, we would be immediately reacting on the matter. But there is none so far. I'm quite long in the industry, and I also saw up in backswing quite a couple of times, and it never happened overnight. It never happened overnight. So I think what I said before that the portfolio and the fact that we are enablers for urgent needs for our customers is putting us into a fairly favorable position. We are not naive to believe this is a guarantee, but they, I'm overdoing now need us to fulfill their requirements and getting more resource efficiency in place, being successful on their transition to sustainable aspects of their portfolio. And we also have been creating win-win situations. I mean if we were not in a win-win customers would never accept price increase on those levels that we had to put into the market to compensate for cost inflation on our own end. So we are carefully watching that. We don't see that. If and when it's happening, we will detect that as soon as possible, and we will then reflect that. Those reflections, of course, include also pulling the breaks if need be. But at the moment, we don't see that. It's very healthy, both in terms of being underpinned with advanced payments and also with the fact that there is no cancellation and also no larger deferrals in it. There was the other part of your question, I think, I mean, prolonging the backlog that may happen because the psychological impact I mentioned before, if you had over ordered and now see logistics is more stable again and so forth, you may stretch that out, but we are not worried about that. And we also - when we assess the backlog and the timing in it, we also took, of course, own assumptions and did not only look at that what the customer had been ordering at that point in time. Last but not least, on the advanced payments schemes you mentioned, I had been discussing that in the past. It's still valid in China, which is extreme there for that what we saw in the past there. Advance payments of up to 30% are rather the rule than an exception. But on a global basis, this is the high end.
James Moore: Very helpful...
Ralf Thomas: Let me add one point. We obviously, when we're running through the budget with our businesses, we ask all of them to have contingency measures in place depending on how severe eventually a downturn would be, and we would be ready to act. We also asked to really push out any kind of investment. So we have a clear and better view. But just to comment on this is we don't see any softening of the demand in our - regarding the conversion of our backlog into revenue. And this is probably true for automation, but also for example, low voltage business, medium voltage business. So electrification is also a trend which is on, and we see that there's a strong demand.
James Moore: Very helpful. Thank you, gentlemen.
Operator: For the next question, we try again, Alexander Virgo from Bank of America. Please go ahead.
Alexander Virgo: Thanks very much. Good morning. Hopefully, you can hear me now.
Roland Busch: Yes.
Alexander Virgo: And apologies for the inability to manage telephones. Ralf, Roland, Eva, thanks very much. Question for you, Roland, first on the acceleration of SaaS adoption and conversion in particular of existing customers. I wondered if you could just give us a little bit of color around the dynamics of what's driving this. I'm guessing that the appeal of being able to minimize upfront costs is particularly a driver. And I think the 80%-plus conversion rates are really encouraging to see. I'm just wondering if you can give us a feel for churn or how much you expect in terms of renewals to come up this year to give us some idea of what that sort of 1,200-odd existing customers converting actually means? And then second question on pricing for Ralf. I wonder if you could just give us an idea of what you're assuming in that organic growth is the pricing component. And I think quite helpful and probably a little surprising to people that you still expect to be able to offset the wage and energy inflation equation with pricing. So just wondering if you could elaborate a little bit on the wage inflation assumptions you're incorporating into that guidance. Thanks, both.
Roland Busch: Thanks, Alex. Let me start with the latter one on pricing. And what is really important to me and to all of us is that we make sure that this is getting across, it's not that we directly pass on cost inflation only. We have a high level of productivity measures in place. In the past, we have been debating a lot about that 3% plus is the minimum expectation we have. And the good thing is we have many of the levers to do that in our own hands because we drink our own champagne as we used to say. We are implementing the features that we sell to our customers for more resource efficiency and higher levels of utilization of existing assets for ourselves. So don't underestimate that. This is a natural resource of incremental contribution to resolve the economic equation. When it comes to cost inflation, I mean, just to give you a bit of flavor, what we do expect is that material is going to pretty much on the same level as in fiscal '22, around 2% maybe. And on the personnel side that may increase a bit over and above the levels we saw last year. In fiscal '22, the personnel cost increase was between 3% and 4%. And with that said, I think you can easily resolve what potential price increase may mean. But again, we don't do that to optimize margin. We do that to compensate, and we believe that the biggest lever we hold in our hands is volume and keeping profitability on high levels, translating into a strong free cash flow. This is what we discussed with you in the past, and this is what we continue to focus on. So therefore, the lever to compensate for cost inflation and we also want to be fair with our customers and together with them, develop their new business models based on sustainability and digitalization.
Ralf Thomas: So on SaaS, I mean, obviously, we are in the first year. And you see that we have 3,100 customers cumulative. We see that this trend is ongoing. We have more than 600,000 SaaS users with more than 3,800 unique customer tenants, and 530 SaaS account orchestrated. So there's still a momentum, and we believe that this is going on as - and hopefully then accelerating as we said, we want to do that. We are on track getting our cloud share to the 40% by 2025. We know that we are sitting on this 2024, up from - in 2001, it was 5%. And we're also talking about churn rate, we also see customers adding new functions, asking for new functions once they have the opportunity to really go and get it via cloud-enabled offerings. So we continue, as you also saw, we continue investing in making that portfolio available and vendor [ph] place is also preparing for the infrastructure, which we need. So therefore, I mean, this is - we are very happy. We are very happy the way how we started it. The time we started and also the investment, which we did to enable it, our SaaS transition.
Alexander Virgo: Great. Thanks very much.
Operator: The next question is from the line of Ben Uglow from Morgan Stanley. Please go ahead.
Ben Uglow: Good morning, Roland, Ralf and Eva. Thank you for taking the questions. And so a couple. First of all, and I guess, Ralf, you normally give us a sort of nice understanding of how the automation business is doing in China. If we look at the order comps coming down, I know that last year - during periods of last year, a lot of that was down to the software and EDA business growth. So could you just give us an idea, sequentially, how is the automation products area doing in China? What did you see in the quarter? What are you seeing now? And how do you feel about the so-called channel, i.e., where are we on the distributor situation in China. So that was question - well, why don't I start with question number one, and let's go from that.
Ralf Thomas: So thank you, Ben, for this question. I use the opportunity again to try and living up to your expectations in that regard. So a quick starting point to put the minus 30% in automation into perspective. I mean, first and foremost, the fourth quarter prior year was tough comps. You may remember it was up 61% back then, quite impressive. In the meanwhile, we have seven quarters in a row between a growth rate of 27% and 78% and then again, the psychology aspect which must not be underestimated, in particular in China, supply chain easing and better delivery times for our customers immediately is translated there due to the fact that they need to make advanced payments into reallocating their resources in terms of funds may be temporarily into other directions. So I also have to admit that I caught myself with the second thought that some of the channel partners may have been reaching their annual targets at some point in time in the fourth quarter, and that was then underpinned by my perception that now in October, coming back to the focus of your question, new orders have been quite normal, again, even on the high levels of the prior year's first month of the fiscal year, we are on par. And I also took the liberty to look into the first two weeks in November, which also have been encouraging me that the sequential upward trend that we foresee is rather high in double digits on a sequential basis. So I assume - or let me take it the other way around, I wouldn't be surprised if on a monthly sequential path, we could double up in the first month of the current quarter. So therefore, a lot of crystal ball to be honest. But I mean, we are tracking facts as close as we can. We don't see cancellations. We don't see larger deferrals or push-outs. We don't see any major attempts to renegotiate our advanced payment policy in China, and the demand is broad-based in the automation business. So we are quite confident that we are seen as an enabler for their needs to continue on a successful path of developing their businesses.
Ben Uglow: That's extremely helpful in terms of color. Thank you very much. And then my second question, I feel bad for laboring the point that everybody is, I guess, trying to get at is trying to understand the, let's call it, 10% to 13% growth guide in DI, which is fantastic news. It's just, I guess, folks want to make sure that we can get there. The Boeing - I think I'm struggling with, and maybe others are, too, is if you just break out the numbers, you've very helpfully given us an $11 billion backlog conversion in 2023 in DI. And the guide is effectively to something like €21 billion. So there is a sort of €10 billion inverted-commerce difference, let's call that, sell and sell out, whatever you want to call it. And that's actually higher year-over-year. So I guess the question is in that higher sell-in, sell out, is it that you think the volumes trend up? Is it that you think that there is no sequential slowdown in that sort of, let's call it, shorter cycle area? Or is it just the pricing is going to be so strong, we're going to see 10% pricing. So really, without giving us precise details, what is it excluding the backlog that's giving you the visibility?
Ralf Thomas: So Ben, let me answer that question precisely. I will keep on for the next 4 years of my term to dream of 10% price increase. And I don't think it will be that spectacular. I mean what we said, and you can easily do the math. I mean the prior year price increase was reasonable area of 3%, I think, on average. And that's the yardstick for the next year, maybe a bit over and above that. But as I said, we are not - our intent is not to drive top line by price increases. This is a reaction to stabilize our profit. And we do that quite meaningfully and moderately also towards our customers because we believe we are their partners on the way to enter new grounds with sustainability based business model. So this is our strategic perspective. And I think this is perceived fairly well. I know that you are going to struggle in as much as I can say will not help you in getting certainty about that. But what we really clearly see, if you look back into the last handful of quarters, we have been clearly winning market shares in automatic in particular. And we do see ourselves on a trajectory that more and more of our customers understand the benefits of the combination of contributions of what we can provide to their solutions and to their burning questions. So therefore, I have serious doubts that this trend can easily be stopped. But even then, we will be positioned to respond swiftly. You know from the past that we can be very consistently in pulling the brakes. But I don't see that happen, to be honest. The visibility of the backlog, the quality of the new orders, yeah, and also the sequential development of the new orders in most relevant growth markets, it was only an example I gave with China. The same pattern pretty much applies around other relevant geographies. So therefore, we are confident. But as I said, we are not naive, and we are staying close to the facts, and we will then act if needed.
Ben Uglow: Understood. That's helpful color. Thank you very much.
Operator: The next question is from the line of Gael de-Bray from Deutsche Bank. Please go ahead.
Gael de-Bray: Thanks very much. Good morning, everybody. I have two questions, please. The first one is once again on pricing because I think there might be two sides to the question. I mean, first, the carryover effects from the pricing actions that you've been taking in the course of 2022? And then second, the additional price rises that you will need in 2023 to compensate for higher wage inflation and a few other things. So could you - again, I mean, could you help me quantify maybe as much as you can, these two different effects in 2023 for both SI and DI? And the second question I have is on the carve-out process for LDA. I was wondering about the rationale of combining large drives with the low voltage motors business because I would assume that there would actually be far more synergies between low voltage motors and the small drives within DI. So what's driving your decision here? Thank you.
Roland Busch: Thanks, Gael. Let me start with the pricing aspect and trying to add additional color. I fully understood what you said, and this is also the way we think about it. We look into the backlog, see what price increase has been materializing in the backlog and feel quite certain about the viability to pull that through in revenue recognition, obviously, that's locked in, more or less. For the rest, this is what I said before. We are flexibly responding to market needs. If inflation continues to be on the levels expected by the relevant institutes, we will be in a position to go through further price rounds, but this is not the intent to do that on purpose to increase margins. This is to safeguard our market positioning in a time when we believe we have a superior offering. So it's a means to an end and not a strategy to - to compensate for other shortcomings, let me put it that way. But what does that mean? How does that translate into what you're trying to get to? I mean we had €13.5 billion of backlog in DI. We do expect that around €10 billion of that is materializing in fiscal '22, making – for '23, sorry, making up for about half of the turnover that we expect by then. This is then also giving you the answer how solid we plan on that price increase that is already baked into the backlog. The math for SI is not a lot different. We have €15 billion of backlog, and we have about also $10 billion, give or take, of revenue being generated from that. So while we speak, the backlog is moving on. So the first month is already understood and reflected in analytics in that, what I say. And so is half of the second month. So we are moving on. So actually, when it comes to backlog materialization, yeah, we already talk May - April, May, June, yeah. So therefore, the gap that is potentially open is getting narrow and narrower. And therefore, I feel quite confident with that what we have been describing. But again, we are not naive. If it be, we will pull the brakes and we will be able to do that. So that's the maximum I can help.
Ralf Thomas: So let me talk about low voltage motors and LDA. Number one is we have to have in mind that when we talk about low-voltage motors, we talk about that portfolio part, which is currently sitting with our DI motion control, which is standard motors, standard motors and geared motors. Geared motors are small. So eventually, it's more the standard motors. It's not any kind of servo motors, which are integrated in the drive and which make really a performance difference, motors which are, as we always say, connect, IoT connected IoT-enabled, which have an intelligence in it. This will remain as the core element of our motion control portfolio, which we definitively see relevant. Now coming to combining the two businesses. We made an in-depth analysis of competition, where we said, how is the competitors look like? How much do they do, low voltage motors and the large drives? And there's an overlap. Most of them do have also have converters in their portfolio for high voltage, medium voltage, high voltage, less so for low voltage. So they are eventually also plant labeling that. So from that perspective, competition, the new organization would be better positioned firstly. Secondly, we looked into any kind of customer interaction. You have to have in mind that 30% of the low-voltage motor businesses see the same customers as LDA. So we have a kind of a go-to-market synergy. Then it comes to the value added. It's all about manufacturing motors, it's mechanics and the like, which we see there is a benefit, too. And then you have also a little bit of different psychoactivity [ph] which makes this business more stable. So all in, yes, there's another element in it regarding the software part, which we are - we will still provide the core software for the low-voltage, medium voltage and large drives with APIs so they can develop their own application to draw on our strengths of software and the core software in it. So - and last point is I do believe that this combined business, which would be then double. I mean, remember, this was a €.6 billion large drives, 1.4 coming from low voltage that would have a higher momentum in the market, eventually also more cash flow being more stable and has a good chance to really be one of the leading champions in motors and drives.
Roland Busch: Okay, very clear. Thank you very much.
Ralf Thomas: Pleasure.
Eva Scherer: We will take one more question.
Operator: The last question is from the line of Martin Wilkie from Citi. Please go ahead.
Martin Wilkie: Yeah, thank you. Good morning. It's Martin from Citi. Thank you for tossing me at the end. I was going to ask a question on the DI backlog, but I think we've had lots of those already. So perhaps something different. It's striking in your outlook, how the DI and SI growth is sort of diluted down at the group level, obviously, this time by Healthineers. And obviously, for a lot of investors, the appeal of the Siemens equity story is within the DI business. When you're putting out the guidance, did you reflect on how Healthineers is this time around holding back in the growth outlook? And any further thoughts on the long-term holding of Siemens in the Healthineers business. I appreciate in the past, you said you could be diluted down in the future if we'd be able to do more deals and so forth. But just to understand what your thoughts are on that after today's numbers. Thank you.
Roland Busch: So thank you, Martin, to make it short. No new insights on the long-term perspectives of our shareholding. But of course, reflecting in our commitments on the EPS side, namely what the Healthineers have been sharing with you in the market. It's obvious that they have been bouncing back after a strong antigen test year on top line. And therefore, we respectfully follow their guidance as you do. In that regard, we are not worried. But in one thing, you are particularly right, this is that we have been focusing very much on our core activities and DI, SI in their short-cycle business, I think they are really in the sweet spot of market needs in the digital enabling of sustainability-based business models of our customers.
Martin Wilkie: Okay. Thank you very much.
Eva Scherer: Thanks a lot to everyone for participating today. As always, the team and I will be available for further questions. We are also looking forward to meeting many of you at the sell-side meeting in London later today and during our upcoming road shows. Please stay healthy, and good bye.
Operator: Ladies and gentlemen, that will conclude today's conference call, and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Good bye.